Operator: Welcome to the Interim Results Conference Call covering January 1 to September 30, 2013. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn over the call to your host, CEO Jørgen Buhl Rasmussen. Sir, you may begin.
Jørgen Buhl Rasmussen: Thank you very much and good morning to everybody and welcome to our nine months 2013 results conference call. As I was just said my name is Jørgen Buhl Rasmussen, and I have with me our CFO, Jørn Jensen and Vice President of Investor Relations, Peter Kondrup. The headlines for the first nine months are we delivered solid performance Western Europe and Asia while Eastern European markets remains difficult. And driven by our increasingly stronger commercial execution, we continue to increase price and mix and strengthen market shares, and we continue to increase the businesses across all markets and function and then we keep 2013 earnings outlook unchanged. After a summary of our performance for the first nine months, I will go through the regions and then after Jørn will walk you through the numbers and outlook, and then we’ll be happy to take your questions. Please turn to Slide 3. Total market development deferred in our three regions. Western Europe benefited from good weather in Q3; Russia remains difficult due to macro-economic slowdown and outlet restrictions, while Asia continues to grow. We delivered solid market share performance across regions for the nine months cycling strong performance last year when EURO 2012 activations impacted positively. The positive volume and value market share performance is supported by our continued focus commercial efforts that we consistently aim at driving value in the beer category to maintaining high level of commercial activities including line extensions of existing brands, ongoing rollout and deployment of best practice sales and customer tools and launch of innovations. To achieve that our international premium brand portfolio is a very important asset. The Carlsberg brand grew 5% in premium market in Q3 but declined year-to-date cycling last year’s strong performance driven by the EURO 2012 activations. The Tuborg brand grew strongly by 12% with a very good performance in China and in India. The Somersby brand continues the strong momentum and delivered 80% volume growth due to the increased geographical foot print, line extensions and continued activations. And now Slide 4 please. Beer volumes for the nine months were flat, organic growth was minus 2%, the growth in Asia and volume declined in Eastern and Western Europe. In Q3 our volumes declined organically by 5% as a result of weak volume development in Eastern European due to difficult market environment and de-stocking in Q3 in Russia and despite growth in Western Europe and Asia in Q3. And Slide 5, organic net revenue growth was plus 1% supported by 2% positive price / mix. All three regions delivered organic operating profit with particularly strong performance in Asia and Western Europe. In total, operating profit grew organically by 2%. This was achieved precisely DKK 290 million BSP1 implementation costs. Excluding these BSP1 related costs operating profit grew organically by 6%. The negative currency impact accelerated during the year an operating profit impact of minus 4% or DKK 270 million for the nine months. And now Slide 7 please and a few comments on our regions. The Western European beer markets declined by an estimated 2% for the first nine months. However, the solid recovery in Q3 by the modest group on estimated 1%. Q3 was mainly driven by favorable weather conditions across most markets in the region. Underline market environment remained challenging as consumer spending in most markets remains relatively weak. Under such conditions our Western European business delivered a very solid performance. We grew our market shares in spite of cycling the strong performance in first half last year due to the successful EURO 2012 Activations. Our beer volumes declined organically by 3% as a result of the challenging markets and de-stocking in France in Q1. We grew volumes by 2% in Q3 ahead of the market. We are very satisfied that in spite of the volume development for the nine months, net revenue grew organically by 1% driven by a positive 2% price/ mix because of successful implementation of value management and price increases as well as innovation and strong execution. Across the region our focus on driving value in the category is clearly paying off. Our non-beer volumes grew organically by 2% primarily due to strong performance Somersby. In Poland, our volumes grew by 4% in a declining market cycling last year’s strong market growth. The polish price/mix continue to improve and we strengthened both volume and value share. Somersby is growing very well in Poland and Poland has become our largest Somersby market. The French market improved considerably in Q3 and declined 3% year-to-date. Adjusted for the de-stocking in Q1, our volumes declined by around 4%. Driven by various satisfactory performance of our premium brand portfolio, our market share grew in Q3 for the first time in a long period. The UK market declined by approximately 1%. We continued to gain market share in the on-trade while our off-trade market share declined mainly due to last year’s very good Q2 performance related to the EURO 2012 activations. Despite lower Danish volume our Nordics volumes reflect, we are very pleased with our Nordics performance that has been achieved at the same time as implementing BSP1 in Sweden and Norway. Operating profit grew organically by 3% with the 12% growth in Q3. This was achieved through market share growth, a tight cost control, the positive price/mix and supply chain savings which more than offset the negative impact from the BSP1 related costs and the impact from the French de-stocking. Adjusting for BSP1 and the French de-stocking, organic operating profit would have increased by high single digit percentages in Western Europe. And now Slide 8, and Eastern Europe. The Eastern European beer markets remains difficult. Our beer volumes declined 4% organically, our Q3 volumes declined by 15% mainly due to Russia which I will address shortly. We strengthen our Russian market shares while our market share in Ukraine declined marginally due to tough comparables and new entrants into the market. In Ukraine, Baltika Razlivnoe as well as Slavutich delivered very good results. Organic net revenue declined by 5% with the reported decline of 9% due to negative currency impact. And price/mix was flat for the nine months and plus 1% in Q3. Despite the negative volume development we developed satisfactory plus 1% organic operating profit growth and 90 basis points operating profit margin improvement. The earnings and margin improvement was mainly driven by an overall tight cost control including lower cost of goods sold, lower marketing expenses due to last year’s EURO 2012 and the Russian marketing restrictions and also significant efficiency improvements as we continuously adapt the cost structure through the market development. Slide 9 and Russia. The Russian market continues to be very challenging and declined by an estimated 7% for the nine months and estimated 9% for Q3. The market decline due to the outlet restrictions which was further compounded by a slowdown in the Russian economic growth and consumer sentiment. In addition, a very wet month of September impacted the market negatively. Driven by well executed commercial strategy, our Russian market share improved by approximately 40 basis points to 38.7% with a similar improvement in value share. We improved in both the modern trade and business trade channels and we saw particularly strong growth in the super premium and mainstream categories. This was driven by innovations such as Baltika Praha and Baltika München and good performance by brand such as Holsten for Q3, our volume market year was flat while our value share grew. Our Russian shipments declined by 5% year-to-date and 17% in Q3. In addition to the market decline, our Q3 volumes were impacted negatively by the stocking at distributors in Q2 and the subsequent de-stocking at the distributor level that happened in Q3. Driven by the price increases in March, May, June and September, our price/ mix grew by 1% in Q3 while being minus 1% year-to-date. And now Slide 10 please, and Asia. We continue to see market growth across the Asian region although the region was affected by slightly slower economic growth and bad weather in some markets. We improved our regional market share which was driven by a continued high level of commercial activities. That included the ongoing rollout of international premium portfolio, premiumization efforts of local brands and further strengthening of sales capabilities. The Carlsberg and Tuborg brand continued to perform very well in Asia. The Carlsberg brand grew 7% in premium markets mainly driven by China and India, and Tuborg grew 65% and now exceed the one million hit through the mark in the region. The Tuborg growth was mainly driven by China and India. We achieved the 5% organic beer volume growth and 10% growth including acquisitions. The volume growth was particularly strong in Cambodia, India and Laos driven by market growth market share gains. Our Chinese business delivered 3% organic volume growth in line with the market and 11% including acquisitions and Indochina grew 8% and India 19%. Regional volume growth slows to 1% in Q3 mainly due to overall slowdown in economic growth and unfavorable weather in some market. Organic revenue growth was 14% driven by the volume growth and very favorable price/mix. The latter was due to good performance of our premium brands, price increases and value management efforts. Organic operating profit grew by 14% and operating margin improved by 10 basis points. This was achieved the important contributors being China, Indochina and Nepal and despite higher sales and marketing investments especially in China related to the Tuborg expansion. And with this, I would like to hand over to Jørn, who will walk us through the financials
Jørn Jensen: Thank you, Jorgen and please turn to Slide 12. As already explained, market conditions were challenging in Eastern and Western Europe. The weather had a positive impact in Western Europe in Q3. We delivered adjusted net profit growth of 5% driven by positive price/mix, growth and gross profit per hectoliter and the lower net financial costs. For the first nine months, free operating cash flow was on par with last year. Lower EBITDA was offset by improved going capital versus last year. BSP1 went live in Norway in the beginning of this month and its transition has gone well. In the preparation for rollout in Norway we took full advantage of the learning’s from Sweden. We are now in preparation mode for the next market to collide which will be the UK. The BSP1 project is very important and represents a step change in the way we operate our business Western Europe. As has been true for many years now, we have a strong focus on earnings and cash flow across all business units. The challenging conditions in our important markets only further emphasize the importance of our group wide efficiency agenda but we must not and will not underestimate the necessity of continued investments in our brands and the future growth of our business. And Slide 13 please. Organic net revenue increased by 1% or DKK 561 million. Acquisitions were DKK 888 million and were mainly related to the Nordics markets in Germany. The largest contributors to the negative currency impact were the Russian, Malawi and UK currencies. Cost per hectoliter was up organically by 1%. However, due to a positive price/mix gross profit per hectoliter was up 4% in organic terms. Reported gross profit margins were slightly up while the organic growth profit margin improved 70 basis points. In Q3, gross profit per hectoliter was up 6% organically. Total OpEx grew 1%; BSP1 related cost were approximately DKK 290 million in line with our plans. Excluding these costs, operating expenses would have declined by 1%. All-in-all organic operating profit growth was DKK 152 million or 2% driven by strong results in Asia and Western Europe and with Eastern Europe contributing positively despite harsh market conditions. Excluding BSP1 costs, organic operating profit growth was 6%. Reported operating profit was down 2% because of a negative currency impact in particular from Russia and Malawi and the BSP1 related costs. And now to Slide 14, net interest costs were down DKK 61 million compared to last year while other financial items were down DKK 190 million, in total net financials were impacted by lower average funding costs. Tax rate was still 25%. So all-in-all, reported net profit was DKK 4.3 billion, adjusting for special items after tax, net profit was DKK 4.5 up 5%. Now to cash flow on Slide 15. The sum of the first three lines, EBITDA including other non-cash items adds up to DKK 10.9 billion which is on par with last year. The change in trade working capital was DKK 16 million, trade working capital was impacted by higher trade receivables at the end of September versus last year mainly due to higher sales in Western Europe. Other working capital was DKK minus 293 million and was constantly impacted by higher duties and VAT payables, also due to the higher sales. Our focus on reducing the average trade working capital during the year continues to deliver and at the end of Q3, the 12 months average trade working capital to net revenue was 0.3% compared to 1% in last year. Paid net interest were DKK 1.7 billion which was little higher than last year due to facing of interest payments. All-in-all cash flow operations were DKK 6.75 billion slightly better than last year. And Slide 16, CapEx was DKK 3.7 billion and was primarily driven by investments and sales equipment to generate top line growth, different projects in Western Europe to improve structure and efficiency as well as the capacity expansion in Asia to drive the future growth of the group. Net acquisition amounted to minus 555 and were mainly related to prepayments in Q2 relating to the – or regarding the acquisitions of shares in Chongqing. All-in-all free cash flow was DKK 2.5 billion, the difference of DKK 2.6 billion versus last year was driven by the cash flow investments and here in particular the proceeds from the divesture of the Copenhagen brewery site last year. And finally from me on Slide 18 and the outlook for the year. Based on our nine months performance and our performance at the beginning of Q4, we keep earnings outlook unchanged for the year. This includes larger drag from currencies than previously expected and a more negative view on Russian market developments for the year. Based on Russian market developments we’ve seen so far this year, we now assume a high single-digit market decline for 2013. We are however able to mitigate the currency in the impact from the volume loss, through a tight cost control EBITDA cost development and good execution and supplies from functions, slightly higher market share in Russian than anticipated and lower financial costs. All – in- all, our earnings outlook for 2013 is unchanged and we expect an operating profit at around DKK 10 billion, and a mid-single-digit percentage increase in adjusted net profit of clean EPS.
Jørgen Buhl Rasmussen: Thank you, Jørn and that was all for today and let me summarize in line with my introduction. So we delivered solid performance across Western Europe and Asia, while Eastern Europe remains difficult. And driven by our increasingly stronger commercial execution, we continue to increase pricing mix and strengthen marketer shares. We also continue to increase the businesses across all markets and functions, and then we can choose our 2013 earnings outlook unchanged, and now we are happy to take your questions.
Operator: Thank you. (Operator Instructions). We have Ian Shackleton from Nomura on the line with a question.
Ian Shackleton – Nomura: Hey good morning gentlemen, going back to the Russian price your Eastern Europe price mix of plus one. I was interested if you could split that out into price, where you clearly had a number of price increase in the year and mix, if you could split that out. Second question was where you thought the stop levels in the Russian beer market were at the end of September. And the third question, you were probably aware one of your competitors yesterday painted quite a bleak picture of Russia in 2014, still talking about regulation impacting. I just wondered if you had any thoughts on that, at this stage.
Jørgen Buhl Rasmussen: Thanks Ian, if we start with the price/ mix, first of all as we started 2013, we said price/ mix would improve during the year. So it was quite negative in the first quarter, but because of the pricing we’ve had, it became into the year. A lot of the pricing of course had to be done to cover the excise duty increases for the whole to a certain extent, inflation. And then kiosk closure, as we’ve said many times to, because of Baltika 7 being a strong SKU and our branding there. The kiosk closure has had a negative impact, and has a negative impact through all throughout the year on our price/ mix. The price/ mix lately, and I would say probably from mid this year, has also been negatively impacted from the macro economy and the consumer sentiment being more negative so we’re seeing a slight trading down between brands and also if we analyze with any segments mainstream or premium or low mainstream this year slight trading down in terms of average price points within the segments and that really explains our price/ mix situation year-to-date and also what you are seeing in quarter three. I am not going to split out price and mix but I mean what I can say we had four price increases as I think we also put in the release in this year with the first one about February, March and one in May and one in June and now in September and of course one September with very little impact for quarter three. On top eleven in our distributors, we had these stock to Q3 and the stock level is just slightly higher coming out of Q3 than what it was last year of what would be normal kind of stock level, 2014 we don’t want to make any comments on market development if its regulation we don’t see any new news on regulation there is been no kind of development on the OPT [ph]. discussion I think all you on this call probably would be aware of the industry proposals where we have set we voluntarily stopped selling beer in PC more than 6% in more than 2 liter, 2 liter PC is 6% as all up or the same on beer generally we have said we will voluntary stop selling beer in sizes higher than 2.5 liter. But there’s nothing no new development kiosk because they all came out this year, so by end this year we see the impact of kiosk and pavilion closure it should be behind us so should not have a negative impact from next year because they all disappears by end of 2013.
Operator: Søren Samsøe from SEB Equities is on the line with a question.
Søren Samsøe – SEB Equities: Yes good morning gentlemen. First question if you could go into more detail with the cost cut, you have been doing you say is you have done it all over but I mean you have been cutting costs for the last four years and looking into that now you are cutting significantly in Q3 would that I just get a more detailed what kind of cost you have been cutting. That’s the first question; second question is on Asia where you are seeing a significant increase in price/ mix. First of all is the competitors doing the same and is increasing price the reason for the sort of the lower volume or flat volumes or is it a more the Chinese economy or what’s the reason? Thank you.
Jørgen Buhl Rasmussen: To answer the first question on costs then as you know to increase efficiency in general in the group of course in particular in Western Europe is not new on the agenda at all. We still see a lot of potential to become more efficient. We have BSP1 or the benefits on efficiency that would come out of that and so on and so forth. So, of course we are and we’re cutting costs as much as we can and as fast as we can. And it’s not that suddenly in Q3 is suddenly in a new area, a new function or in a new market it is across, it is across that business as such for all regions, all functions all markets and so on and so forth. So that nothing we knew apart from that we still have a lot to do on efficiencies in group.
Søren Samsøe – SEB Equities: And on Asia on price /mix?
Jørgen Buhl Rasmussen: If you look at year-to-date versus Q3 does not really a significant difference on price/ mix benefits I think price/ mix is about plus 6%-7% total for year-to-date and also quarter three and the benefit we achieved on price/ mix in Asia as has been also the case in the past is based on price increases but also very much premiumisation so conversation on a local power branch but also the facts international brands go faster than local power brands.
Søren Samsøe – SEB Equities: Is competition doing the same?
Jørgen Buhl Rasmussen: In Asia?
Søren Samsøe – SEB Equities: Yeah.
Jørgen Buhl Rasmussen: It varies I mean market today is a very different if you take up Cambodia, Laos versus the China so it’s different but I would say yes probably most certainly a bit bigger, international companies do try to penalize also local power branch it maybe it’s different if you talk about local competitors how they operate and their approach so can different depending on the market we are talking about.
Søren Samsøe – SEB Equities: And is this impacting your volumes negatively or can we expect just continue to raise price mix like this.
Jørgen Buhl Rasmussen: I don’t think you have seen this strength for the last two three years so if you go back in time it has often being between 5% to 10% price/ mix in Asia. And I think the strategy has worked, we have been able to gain volume market share with increased volume despite working I would say professionally on value management and improving the average value of the volume we’re selling in Asia so it doesn’t have any negative impact on our volume and we are still gaining shares in most of the markets in Asia.
Operator: Trevor Sterling from Sanford C. Bernstein is on the on the line with a question.
Trevor Sterling – Sanford C. Bernstein: Good morning gentlemen two questions please. You talked about the negative channel mix in Russia I wonder if you could remind me I think you talked about if there is a movement from traditional trade to modern trade in Russia it’s negative on price mix it was neutral maybe even slightly positive on operating profit is that correct?
Jørgen Buhl Rasmussen: First of all, I think I didn’t really saw the lot of our channel mix the biggest impact when we talk about the mix development was slightly negative, slight trading down between brands, we have seen lately certainly from mid this year because of the economic situations and then I talk about within statements and here I am talking about category statements, mainstream, premium, they are mainstream. We also see a slight trading down in terms of average price point which means they are trading down slightly within the segment. So channel mix is not a major factor in quarter three. In general, if you look at the sales situation for us had a bottom line so in terms of profit it is more or less the same per hectoliter, if you compare traditional trade versus modern trade.
Trevor Sterling – Sanford C. Bernstein: Thanks for the clarification. And second question maybe one for Jørn, appreciate it’s too early to talk about concentration next year and that will come in February. I wondered if you could make some comment on the Russian barley harvest. Do you think broadly the importing similar about the molten barley next year compare to this year?
Jørgen Buhl Rasmussen: Well, we will not even in tacitly indirectly tell about crops for next year until get to, so of course we have quite good visibility and all that, that we will be firm and specific on when you get to February and not before.
Trevor Sterling – Sanford C. Bernstein: Okay, Jørn, thank you very much.
Operator: We have Casper Blom from Handelsbanken Capital on the line with a question.
Casper Blom – Handelsbanken Capital: Thank you. A couple of questions please. First of all I was wondering if it is possible if you can strip out the positive weather effect from your performance in Western Europe. Secondly, if you could give an update on the Chongqing process and maybe also on your very long term memorandum of understanding in Vietnam, and then finally I realize it about 2014, could you give any flavor on how the Winter Olympics in Russia might affect your business next year? Thank you.
Jørgen Buhl Rasmussen: Okay, that is the weather effect, I cannot going and kind of analyze what would be weather and not weather in our own performance, but I think when you look at total market development as we refer to, in case you see the market is growing in Q3 and also Q3 was in decline and we are saying still underline property if it wasn’t for weather would be slight decline. So that’s all I can give on the weather side. I know you are on with some Chongqing number and he can also update on the – I mean there is no news on Vietnam in Chongqing MOU; we will come back when we have new news. We are still working on it. And then the Winter Olympics of course will be positive, it has been also an added this year. We are using it in the way we market to the consumer and to the trade and we continue to do so. And of course there will be peak next year. So be positive, but to quantify that I am not going to do. And on Chongqing there is not much to add because this process of course is being in accordance with Chinese steady change rule so everything that is supposed to be public is public. So which means that we are now – we have all the approvals and we are in the so called PGO process.
Casper Blom – Handelsbanken Capital: Okay, thank you guys.
Operator: Nik Oliver from Merrill Lynch is in the line with the question.
Nik Oliver – Merrill Lynch: Hey, morning guys. I have got three questions please. Firstly on price/mix in Western Europe, could be very good in the quarter and one of your main competitors has talked about the need to go promotional on price to have volumes in Europe. Do you think the pricing can keep running for similar level 2% going forward? Or will you also look to be more promotional to get some volume growth back into Europe? Secondly, on Russia, you slight the end of end of bad weather in September, could you just give any comment on trading in October. Did that get back up? And finally on the Eastern European margin. Could be strong up 60 bit despite the negative volume. Could you transcript how much of that was just time menu on marketing expense and how much was cost cutting. I am trying to get sense of what’s occurring and what’s not? Thank you.
Jørgen Buhl Rasmussen: Nik, through the question on price/mix in Western Europe, I think what we are seeing in our numbers and it is strong performance but we’ve seen that kind of the 1% -2% benefit in Western Europe again for some time and value management is a big factor how we work with our portfolio. So it’s a lot about how we drive portfolio management in the organization and then between different SKUs with which impacts center packs, that are driving a lot of the benefit we get from price/mix. East does participate promotions as required. I don’t see there is significant increase in promotion or promotion activity mainly only in a few markets that we see slight increase in that. For an average we think we can continue this kind of trend where we get a small benefit of price/mix. It won’t always be 2% but we said always slight benefit from price/mix, and I think we can continue doing that in Western Europe because we are in generally believe getting pretty good at execution. On Russia bad weather, September was bad, I know certainly was extremely bad in Ukraine. I cannot make comments on October but here is the statement we make now is also based on we have through this relating to October. And on the Eastern European margins there was nothing that was kind of if you look at hit not non recurrence so to speak of course we have lower brand managing costs which is due to the restrictions or the regulation in Russia but that as we don’t expect those to be different. That will continue so there is nothing non-recurring structure kind of in our margins or in our performance in general in Eastern Europe, apart from the de-stocking we told about earlier in the third quarter.
Nik Oliver – Merrill Lynch: Okay, that’s fair enough, very clear, thanks guys.
Operator: Hans Gregersen from Nordea is on the line with a question.
Hans Gregersen – Nordea: Good morning, three questions. If you look on your on change EBITDA guidance DKK 10 billion could you clarify and let’s say some [indiscernible] how big a change in terms of profitability would have to occur before you were to change, is a quarter billion or half a billion and what sort of changes has been in the drivers between the unchanged guidance. Eastern Europe has been weak and Western Europe has been quite strong. The first question. Second question, in terms of Russia and the outlook for 2014, your local or weekly at a conference according to various media signal stable outlook for 2014, would you care to comment on why that was – why and how that was – those statements were made. And finally the September presentation Russia could you use specify how much that is. Thank you.
Jørgen Buhl Rasmussen: The first question as I understood it was basically what it will take for us to come out with the profit –
Hans Gregersen – Nordea: General statements, is it quarter billion or half billion other way.
Jørn Jensen: That is not really how it works. So I think I was just referring from answering to the question. If we believe in what we now guiding at and if that changes then we will come back. But what we said this morning is what we believe and will be the numbers for the year.
Jørgen Buhl Rasmussen: And to your second question Hans on Russia outlook and what you quoted our local COO has said, I cannot recall the interview but at the same time I am sure he may be thinking about the kiosk closure, that’s kind of behind us now. So that all kind of had some impact in 2013 but then you should know additional impact in 2014, I would imagine that what he maybe refer to but again I would have to see the interview before I can give you a complete answer but I think that would be probably what he would refer to and September, you asked about price increase in Eastern Europe and Russia and it is about 4%. Again varies as always a lot between regions and the branch.
Hans Gregersen – Nordea: But would that imply that giving the major price increases we see in quarter two that we should see a let’s say an acceleration that impact in quarter four or we do not see the numbers.
Jørgen Buhl Rasmussen: Yes, you see better price/ mix in quarter four and quarter three.
Hans Gregersen – Nordea: Thank you.
Operator: Andrew Holland from Société Générale is in the line with the question.
Andrew Holland – Société Générale: Yes, thanks. A couple and just in relation to Russia. I don’t know whether you saw the Russian government is downgrade their long term GDP forecast from 4.3% growth to 2.5% and some commentators were thinking that was quite a big deal. I just wondered how you or how your view of the development of the Russian market would change in the light of halving or near halving of long-term GDP growth. You have in the past talked about this sort of normal rate of growth for the Russian beer market in 2% to 5%. Would you still talk in those terms? That’s question one. Question two related to France. If I thought my numbers right, you are saying the market year-to-date is down 3% and you are down 11% but you are in slightly loss market share. Can you put some figures on what is the slight loss of market share?
Jørgen Buhl Rasmussen: Yes, we have watched on Russia, the kind of macro-economic outlook is not as punctual as it was. At the same time it is pertained to be a growing economy and that’s always positive. Secondly, I think most of us also expect a kind of real income growth through year also when you look forward and that also positive. And then we don’t see significant change to consumption habits around beer apart what has been taking the category down has been specific factor like big price increases driven by duty or by cost increase and this year by change to the landscape retail landscape. So we still believe at some point in time this category will get back to some growth. What percent? I don’t know, it is 2% to 5% or 3% to 5% but as long as the category get back to growth that would be a significant improvement certainly for the total Carlsberg business as well. On France and de-stocking, on France the number you compare that should when you look at shipments, but you have to include the de-stocking impact. And it includes de-stocking impact. You are looking at the number being minus four and minus three for the market. So as you are saying we are losing slightly but for the first time in many, many quarters we are gaining share in quarter three and close to one share point we are gaining in quarter three.
Andrew Holland – Société Générale: Okay, just look at though the comparison was the 3% and the 11% rather than 3% and 4%
Jørgen Buhl Rasmussen: The 11% in including de-stocking, so if you eliminate the impact of de-stocking as well. And you kind of do a consumer offset it is minus four versus minus three.
Andrew Holland – Société Générale: Okay, that’s not I read in the statement, you are saying the market decline year-to-date was an estimated 3%.
Jørn Jensen: Then the following sentence says adjusting for de-stocking our volumes decline by an estimate 4% (11% into de-stocking).
Andrew Holland – Société Générale: Yes, but the minus 3% for the market surely is on the same basis I don’t know never mind.
Jørgen Buhl Rasmussen: No, that’s one sure off take; market is always consumer off take.
Andrew Holland – Société Générale: Right, okay. Thank you.
Operator: James Edwardes Jones from RBC in on the line with a question.
James Edwardes Jones – RBC: Yes, good morning. Could you give a bit more detail on how you manage suggestion margins after in Eastern Europe despite the DKK 0.15 volume decline, I know the negative operational guarantee might turn specifically to what extent is underline marketing going down because of all the marketing restrictions.
Jørgen Buhl Rasmussen: It is Q2 efficiency I guess if you want to just quote one thing. So it is cost production in general in the business including of course marketing which we talk about before, when it comes to Russia most of that has been then just translated through the street marketing expenses. But it is very good execution, very good work on cost or cost elements in the P&L in general from procurement, production, logistics, sales, admin and so on so forth.
James Edwardes Jones – RBC: Okay, so the mounting elements is relatively small part of the whole.
Jørgen Buhl Rasmussen: Well, you could see serious and managing cost in a broader perspective that is not what is driving.
James Edwardes Jones – RBC: Got it, thank you.
Operator: Michael Vitfell-Rasmussen from ABG Sundal Collier is on the line with a question.
Michael Vitfell-Rasmussen – ABG Sundal Collier: Yes, everybody, few questions. First of all you do mention that the implementation cost of the BSP1 program, is that going to be close to DKK 400 million compared to DKK 300 million to DKK 400 million and is this due to the projects costing more than you initially expected or is it simply the fact that you have been able to implement these programs faster than expected hence the implementation cost you talked about for 2014 could be slightly lower now. And staying with costs the second question being on change of costs of goods sold per hectoliter, if I recall it you used to talk about cost being up slightly low single digit in organic terms, and now you just mentioned reported terms where there will be flat. Is this due to Eastern Europe cost coming slightly down, you also mentioned in the report. And then the final question, did you talk about a new market participant Jørn when you went through Eastern Europe, can you please say a little bit more about that? Thank you.
Jørn Jensen: Michael, to the first one on BSP it was to DKK 400 million and now it is closer to DKK 400 million is what we are saying. So it is – it is not a huge change in outlook. It is more facing and I would not be going to assume that the number for next year would be different from what we have said all along for next year. When it comes cuts it is again cuts in general, of course it is impacted by the execution in supply chain function in general not necessarily on material costs but also non material cost which is increasing efficiency productivity and so on and so forth. So these small, small change you have noticed on cuts in the outlook that’s not new change in reported terms is basically to go with the execution.
Jørgen Buhl Rasmussen: And you are right Michael on Ukraine I did refer to it and let me talk about new players and new entrants. One would be Submela [ph] used to be there on their own. Now that’s good FS and across the portfolio has increased compared to how used to look in Ukraine and then must did not used to be in Ukraine and they are small but they are now a new player in Ukraine as well.
Michael Vitfell-Rasmussen – ABG Sundal Collier: Okay, great, and thank you very much guys.
Operator: Olivia Nick [ph] from UBS is the on the line with the question.
Unidentified Analyst: Hi, good morning. I got three questions. First of all, just wanted to understand a bit more about the lower marketing expenses in Eastern Europe. How much of these marketing expense saving is actually due to the saving and do we expect marketing expenses to be sit down in Q4. Second question is on the marketing trend in Q3 was up probably the first time since you bought flattish –is it thanks to innovation or do you see some up trading in the market and you this comfort portfolio being down. So if you could give us a bit more color on this. And lastly on the CapEx, CapEx guidance increased compared to your H1 results, is that essentially due to new brewery that you are opening in Asia. Thank you.
Jørgen Buhl Rasmussen: Thanks, Olivia. We take marketing expenses in Russia. As we have said all along we don’t assume our sales marketing expenses as a percent of net sales despite the marketing restriction was in line 2013 versus last year because we going to spend money differently than what we used to do. We have been talk about slight saving this year, that’s driven by also last year we had the EURO 2012, which always drive something commence expense. And secondly, of course when you see a significant market development than anticipated and you put back on some of your planned spends and you really go for business everywhere. Yes, we take some spending out some cost out investment out. That explained what we are talking about when we talk marketing expenses. But overall I would assume kind of marketing expense as general sale will not be what it used to be. But for this year has some unique reasons. Marketing in France, it is great to see we up in the quarter, but as I always keep saying the same when I talk about Russia, a quarter- to-quarter, we need to look at long-term trends before we can talk about we really on a growing share trends. But it is very good news what’s driving it, it is our premium brands and I would say it’s all of them and also innovations so we launch this product also from Tuborg, that’s doing extremely well and that’s in a slightly different category than kind of spend at all the 1664 with some of the re-positioning we have done and what we have done on 1664 is working extremely well. So yes it’s innovation it is what we do on brand. And also Carlsberg is performing still very well which has made us to grow market share for the first time in the quarter. On CapEx, yes it is expecting – one element is what you described yourself and the other one is basically facing including in Western Europe between you say this year and next year. So that was three months ago, it’s not suddenly a new big project anyway.
Unidentified Analyst: Okay, thank you very much.
Operator: Adam Spielman from Citi is on the line with question.
Adam Spielman – Citigroup: Hi, thank you. I have two questions. Maybe first one is divide into two itself. Can you quantify A&P as a centric sale in the third quarter facing in Western Europe and in Eastern Europe? When I say quantify – -can you say how many bips it is gone up or down in those two regions as compared to the last quarter. And then the second question, clearly we’ve had a very good margin performance to slight mediator top line, and you are attributing that to better efficiencies in lots of areas. So I guess the question is can you continue to squeeze out these really superb efficiency if the market remains as weak or was this a huge efforts but it is really one quarter effort and decry you a quarter-to-quarter or will it return previous trends in terms of costs going forward. Thank you.
Jørgen Buhl Rasmussen: Adam, to your A&P question, does not add significant business on A&P versus year ago but yes when you have a market like Russia going down by 7% -8% of course you also pull back and they will earn your planned – and planned investments. But in Western Europe, you don’t see a big change compared to last year the same, in Asia we keep investing in growth for the future, but wherever we saw an opportunity based on some of the negative development in Russia, yes, we did pull back a little. But that’s kind of more of a short term tactics not for long term. Because we will keep investing in our brand and innovation to try top line growth and to stay on a growing market trend. That’s a very firm part of our strategy.
Jørn Jensen: On efficiencies in general as you know we are investing a lot in kind of taking a big steps change on efficiencies especially of course in Western Europe. So that’s no reason to believe or think we will not be able to continuously to become more efficient, it is an integrated part of the whole strategy of the Group. So that set record there is nothing kind of underline structure in the quarter as such which is kind of the one off on cost savings, we will continue to drive efficiencies and in very important part of the agenda for the Group and there is still– I said many time before there is still much more to do.
Adam Spielman – Citigroup: And if I come back to that because you said BSP1 efficiencies really didn’t affect this quarter at all. But I supposed to be absolutely crystal clear, if we continue to have in Western Europe, the same sort of organic sales growth that we achieved in – you achieved in Q3, it is reasonable to suppose that you can get the same margin expansion, in other words should I be pushing – should we all be thinking about 12% organic growth because that seems quite high to me, it’s certainly higher than we are expecting it is, what about your trend?
Jørgen Buhl Rasmussen: What you should assume on Western European margin is this that we have– we’ve talked about before that we will deliver at least 50 bips average, yearly average improvement for at least the next five years.
Adam Spielman – Citigroup: And my understanding was that was a very much backend loaded. Is that still the case?
Jørgen Buhl Rasmussen: It’s more, yes, it’s more backend loaded than the kind of a normal average for the period for sure because as you know most of the BSP1 benefits will be at backend loads without any doubt.
Adam Spielman – Citigroup: Excellent, thank you, very much.
Jørgen Buhl Rasmussen: But Adam also in the place like Eastern Europe when we – that is what we said going into the year when we say flat market and now it’s minus 7% -8%, yes of course we go more aggressively into all kind of places to see where we can take cost out including the cost out in the same source because market is now smaller unless and peer disappear, so it is also reflection of what’s happening in total market so we adjust our business model to what’s happening to total market developments.
Adam Spielman – Citigroup: Okay, thank you very much.
Operator: Pablo Zuanic from Liberum Capital is on the line with the question.
Pablo Zuanic – Liberum Capital: [Indiscernible] quantify but the second year you had given guidance for the flat Russian beer market, so what changed since then? And you had some understanding on the regulatory changes. Was is it just mark as weather or was it that you really misjudged the impulse of all the regulatory change? The first question. The second question in terms of the timing of the kiosk shutdown. Is that pretty much happened in January or has that been happening throughout the year? And then three and last just remind us at the consumer level year-on-year what was the price increase consider if there is a change and maybe just put in context the world price set on average compared to five years ago after all the price increase. Thanks.
Jørgen Buhl Rasmussen: Yes, the flat version market we decided on and now we are looking at a high single digit in our guidance for the Russian market. The difference is really two significant factors. One would be the kiosk closure. We did not anticipate it will take so long for the consumers to get used to going elsewhere to do the shopping and to buy the beer. And therefore we have certainly lost impulse buying etcetera. So you are using your words, yes, we probably misjudged the impact of the kiosk closure. It takes longer for consumers to get used to a new retail landscape and then secondly from mid this year also a slowdown in the Russian economy and consumer sentiment is also having a negative impact. So they are the two significant factors as we have it. Timing of kiosk closure, you can say they basically all disappeared by end of 2012. So that’s been probably if you take the combined kiosk universe and pavilion universe about 50% to 60% of kiosk who used to sell beer were pavilions. They are no longer selling beer, so as we see end 2012 the kiosk universe has disappeared and that was a negative impact for 2013 but should not be a negative impact in 2014 versus 2013. To your question about year-on-year price increase, the consumer is really – around the 10% price increase on average in the category compared to the year before. If you look over the last quarter five years, I cannot give you an exact number here but the consumer has probably faced price increase of 40% -50% in the category compared to the pricing back in 2008-2009.
Pablo Zuanic – Liberum Capital: Thank you. And can you just take one quick follow up. Your Investor Day in Russia more than a year ago, you had given guidance and going back to high 20s thus vivid margin to 28%-30% range. I know the guidance has been changed since then but just can you remind us for the recent provide guidance that or in reality has not been changed I mean just still guiding long -term for a return to high 20s in margin in Western Europe. Thanks.
Jørgen Buhl Rasmussen: I didn’t get the first part of your question. Could you just repeat it again? Sorry.
Adam Spielman – Citigroup: I am trying – if I am not wrong in your Russian Investor seminar more than a year ago when we were talking about Eastern European margins, the idea was that even margins there would return to a high 20s, the 28% -50% over time, I don’t think the timing was provided but the idea was that they would return. But when I look at your latest guidance as per the press release and your website in terms of medium term guidance, I believe there is specific guidance for Eastern European margins. So can you just remind us in interest of what is your thinking about Western and Eastern European margin over time? And if you can give some guidance long term.
Jørgen Buhl Rasmussen: Yes, it is true that we while ago we moved midterm target guidance on margin in general for all three regions which was due to that actually – it was numbered that was as we have it not really telling kind of the underline story of the earnings outlook for the three regions as we saw it. And it wasn’t those relative number, was not something we used to for anything internally. So at the end of the day it is far more on the absolute margin for instance slight EBIT per hectoliter and not on the relative margins. So those were removed a while ago. And I can see we are really running out of time. So I probably have to say that was the last question. But again thanks for participating and attending and I am sure we will talk to many of you in the coming days. Thanks a lot.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.